Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Good morning, ladies and gentlemen, and welcome to the presentation of ACCIONA's and ACCIONA Energía's first half results of 2025. I will begin with a brief overview of our performance in our renewable energy subsidiary, ACCIONA Energía, and then move on to the rest of the businesses and the consolidated results. As a brief introduction, let me say that despite recent significant opposition, global climate action has finally gained irreversible momentum. Although progress is probably not as fast as it should be, the transformation is underway. And for the first time, we're seeing hard evidence that the global emissions curve starting to bend. If current trends hold, 2025 may be remembered as the first year of decline in global greenhouse emissions, mostly driven by major economies like Europe and China implementing structural emission reductions through the growth of clean energy mainly. Renewable energy is not only the cleanest, but the cheapest, about 30% to 60% cheaper, most flexible, most scalable, most independent and quickest option to implement. In fact, in the past year, 90% of global capacity installed came from renewable sources. But more so, this transformation could be exponentially accelerated by a surge of new cheap battery storage capacity. Admittedly, in the short term, the uncertainty and volatility triggered by import tariffs imposed by the U.S. administration led ACCIONA Energía to temporarily put on hold some of its near-term growth plans in the U.S. which namely were the construction of 2 storage projects in Texas. As challenges arise, they demand flexibility and the ability to adapt. We are being particularly prudent in the current environment with respect to short-term CapEx commitments, although remain upbeat about the outlook for the renewable energy market and our ability to grow profitably while extracting value from asset rotation. With respect to the financial performance during the first half of 2025, ACCIONA Energía posted results broadly aligned with our full year expectations, albeit with a different mix of prices and output relative to our initial forecasts. We reaffirm our guidance of approximately EUR 1 billion 2025 EBITDA from operations and EUR 500 million to EUR 750 million EBITDA from asset rotation, as communicated to the market at the end of February. In terms of new capacity, we will add about 600 new megawatts once we adjust for the postponement of the mentioned Texas battery project. This is consistent with our flexible approach to growth and our strategy of reducing leverage during 2025 following 2 years of peak levels of capacity additions close to 2 gigawatts a year. Another crucial element of our strategy is asset rotation. Since the launch of this strategy last year, market appetite has been strong and despite our ambitious targets, around EUR 3 billion in total proceeds for the period '24, '25, with about 2/3 of the objective already completed or secured, we are confident that we will meet our goals. We are pleased with the progress so far in terms of volume of transactions completed or signed which is about EUR 2 billion and capital gains of about EUR 0.9 billion, driven by asset valuation significantly above those implicit in ACCIONA's and ACCIONA Energía's share price. We have an additional set of asset rotation transactions in advanced stage of negotiations worldwide, of which we would only need to execute a portion to meet our targets. This allows us to be selective. We remain confident in being able to deliver additional transactions for a value of EUR 750 million to up to EUR 1 billion before the end of the year. Turning to the nonenergy-related group results. We are pleased to report a strong performance in our -- in all businesses in the first half of the year, particularly in infrastructure and Nordex. Infrastructure growth remains anchored in concession scale-up and complex project leadership, delivering an outstanding set of half results, mostly driven by strong performance across our core markets. We secured major transaction -- major transmission line projects, including Central West Orana in Australia and ATN3 in Peru. In the United States, we continue to make solid progress on key projects such as the I10 or the SR 400 highways. Similarly, in Line 6 in São Paulo, the São Paulo Metro, we are progressing adequately and successfully. In the water sector, we strengthened our presence in Australia with the collaborative contract of the Eyre Peninsula desalination plant. In Brazil, we signed -- always in water, we signed a concession contract where we were awarded 2 wastewater public private partnership contracts, further reinforcing our position in the region. Additionally, we entered the U.K. market through a collaborative contract for the upgrade and renovation of the copper mills water treatment works in London, which is its main potable water supply facility. Nordex consolidates its momentum progressing across service and margin recovery, retaining its position as the fourth -- as the second largest non-Chinese player in the world. First half of the year delivered a total of 4.5 gigawatts of new orders, mainly from Germany, Turkey and Finland and stable pricing continued, reflecting the strength of the business model and the strategic direction taken. Full year targets were also confirmed. Bestinver delivered a 7% year-on-year growth in assets under management and continued delivering on the alternative asset portfolio with the closing and listing of the real estate fund reaching its target of EUR 150 million. In summary, we are making solid progress across our various infrastructure solutions, reinforcing our global platform that now comprises about 15 gigawatts of renewable assets, EUR 1.9 billion of gross asset value in real estate assets, EUR 19 billion in construction backlog and a growing portfolio of concessions in transport, water and grids with about EUR 3 billion of equity invested or committed. Let me now hand over to the rest of the team for more details. Thank you. Arantza Ezpeleta, CEO of ACCIONA Energía.
Arantza Ezpeleta Puras: Chief Executive Officer Thank you, José Manuel, and good morning, everyone. At the beginning of 2025, we set ourselves several priorities given the ongoing changes in the renewable energy landscape, the need to protect our credit ratings in the context of unprecedented levels of capacity additions in CapEx in the recent years and the growing divergence between private and public market valuations with renewable energy stocks significantly out of favor in the stock markets. The priorities we set were consistent with the early abandonment of fixed annual growth targets in favor of a more flexible and selective growth model and a new asset rotation strategy that we see as an efficient source of capital to fund our growth. With respect to CapEx, we wanted to bend the curve further. In 2025, there is still significant inertia, and we moved some of the committed investment from 2024 to 2025. Our initial CapEx estimate for the year was EUR 1.5 billion, and we are now implementing several actions to cut our CapEx further. In terms of work in progress reduction, last year, we added around 2 gigawatts of capacity. And this year, we need to connect these megawatts so that they start generating EBITDA, and we cut the large amount of work in progress that we have been accumulating in the last few years as our growth accelerated. During the first half of the year, we have put in service around half of our target. And although some projects like MacIntyre are slower to come through, we are making progress and confident of achieving our year-end targets. Our current work in progress amounts to around EUR 2.3 billion with MacIntyre representing just over EUR 1 billion. We expect that by year-end, total work in progress will fall to around EUR 0.9 billion. Moving to asset rotation. As José Manuel said, we have secured EUR 2 billion worth of disposals since the start of our asset rotation strategy last year. Our objectives for 2025 were very ambitious with EUR 1.5 billion to EUR 1.7 billion incremental transactions over and above the EUR 1 billion deal with Endesa announced last year and closed in February this year. We have 2 additional transactions since then, which I will cover in some detail further down in the presentation. These transactions secured close to half of our target for the year and delivered good value to our shareholders. In Peru, we recycled capital as we are constructing a new project and considering another development project. In Spain, we are balancing out our footprint in favor of lower concentration. In terms of CapEx, we are being particularly careful with additional CapEx commitments for 2026. In today's volatile global context, we prefer to retain ample financial flexibility with only EUR 0.3 billion or so strictly committed currently. All in all, I think we're making good progress towards our EUR 3.5 billion debt goal at year-end and preparing the company for the next phase. Let me get into a little bit more detail on some of the key topics. Our asset disposal program for the period '24-'25 aimed at generating proceeds and debt reduction in the order of EUR 3 billion, roughly offsetting the investment during the period that marks the tail end of the peak CapEx phase. For that, we have been working on potential transactions that represented up to 4 gigawatts of capacity across different geographies and technologies. As you know, today, we have completed the disposal on 2 portfolios of hydro assets in Spain worth EUR 1.3 billion at multiples of around EUR 1.6 million per megawatt. The deal announced yesterday, together with the recently agreed disposal of the 136 megawatts San Juan de Marcona wind farm in Peru, bring additional debt reduction to the tune of EUR 750 million and brings total crystallized or secured proceeds to EUR 2 billion in total since we started the new strategy last year. The transaction in Peru implies multiples of around EUR 1.7 million per megawatt and will generate a moderate capital gain for this brand-new plant. We are selling to Luz del Sur, a Peruvian utility subsidiary of China Three Gorges. The deal announced yesterday involves the agreement with OPD Energy for the sale of our Spanish wind portfolio amounting to 440 megawatts for a total consideration of approximately EUR 530 million. This disposal is subject to competition and foreign direct investment approval and is expected to close in the second half of the year. We estimate a result of around EUR 190 million, which together with the EUR 443 million of EBITDA from rotation in the first half of the year brings us within our EUR 500 million to EUR 750 million target range for the year. The wind portfolio has an average age of 15 years and estimated output of 1 terawatt hour per annum. We have additional transactions of significance in relatively advanced stage of negotiation and expect more activity in coming months. We are confident in the delivery of our targets for the year. In Slide 8, we show the capacity additions to the first half of the year. We have installed close to 450 megawatts related to projects that go from Juna PV in India, Aldoga PV in Australia, Forty Mile wind farm in Canada, the Logrosán biomass plant and the Tahivilla wind farm repowering in Spain. During the second half of 2025, we expect to complete the construction of Juna and the Tahivilla repowering and start adding capacity in Kalayaan 2 wind farm in the Philippines and in the Pedro Corto PV plant in the Dominican Republic, reaching a total of 600 megawatts of new capacity during the year, evidencing the moderation in new installations relative to the previous 2 years of around 1.8 gigawatts on average. Our initial target was to install around 1 gigawatt of capacity in 2025, but we decided to put on hold the start of construction of 2 battery stage (sic) [ storage ] projects -- storage projects in the U.S. as we will see in a moment. The year is even busier in terms of bringing up to speed more than 2 gigawatts of capacity recently installed or acquired. We have placed in service around half of our target, including portions of Aldoga, Juna and MacIntyre. The energy contributed by these new projects in its ramp-up phase is lower than planned due to some delays, technical incidents and bad weather, but we are expecting limited incremental deviations in the second half with Aldoga, which is running significantly ahead of schedule, broadly offsetting shortfalls in the rest of the new portfolio. With respect to the MacIntyre complex, our largest wind farm project ever with 923 megawatts, we are running a few months behind schedule in terms of energization, but we have an action plan in place with the objective to reach full commercial operation by year-end. The MacIntyre energy station was always going to be challenging given the size of the project and the tough grid compliance requirements in Australia. We are pleased that the wind farm has successfully completed the first 2 out of 6 whole points with the project receiving the go-ahead to initiate the Hold Point #3, which includes starting to generate with MacIntyre South. We have currently 81 turbines of 5.7 megawatts each generating electricity. Hold Point 3 tests have already started and the process is likely to take around 2 months. Once it is completed, we expect the following Hold Points to be faster. In Slide 9, I wanted to put into perspective our efforts to moderate new capacity additions in 2025 and 2026 following the extraordinary growth in 2023 and 2024. Following the decision to put on pause the 2 U.S. storage projects, our expectation is to install around 600 megawatts in each of 2025 and 2026. In 2026, we will be adding capacity in the Philippines, Peru, South Africa, Croatia and marginally in Spain. Our CapEx expectation for next year on a very preliminary estimate stands around EUR 700 million, and we are being particularly careful about undertaking further CapEx commitments and retaining as much financial flexibility as possible. We will continue to maintain and enhance our pipeline to fuel profitable growth opportunities beyond 2026 to the tune of 1.25 to 1.5 gigawatts per annum. We currently estimate our medium-term balance sheet capacity consistent with investment-grade ratings at around 700 megawatts. So the plan is to maximize growth in projects that meet our return objectives with asset rotation in a systematic basis. With respect to the U.S. market, we wanted to comment on recent developments. On the one hand, the ongoing trade wars make it hard to make investment decisions in the U.S. in the short term, and this is precisely why we had to hold our battery projects that were expected to be fully constructed by year-end. Given the steep fall in battery storage container prices, our projects have capacity to absorb higher tariffs, but with this volatility, it's impossible to know where you stand. Moreover, complex new rules on tax credit eligibility of the renewable energy projects that make significant use of Chinese equipment models the picture even further. With respect to the Treasury's One Big Beautiful Bill Act, the picture is clearer now. Tax credits for wind and solar are being phased out over the next 12 months or so. But on the positive side, tax credit for our safe harbor projects which start construction by end of 2024 are unaffected. These projects will need to be put in service by the end of 2028 as it was the case before. There is also the opportunity to safe harbor additional wind and solar projects to meet the start of construction requirements by July 4, 2026. Tax credit transferability, which has proven to be a useful alternative to tax equity structures also remains in place. And finally, battery projects come out better with full tax credit eligibility if construction starts before the year-end of 2033, and there is a phaseout schedule in the following years. Some uncertainty remains, however, about the beginning of construction milestones as the Treasury has been asked to issue news and revise guidance. When we combine the trade wars with the one big beautiful bill, our conclusions are, firstly, that there is going to be an increase in the cost of capital and the cost of new build for renewable energy price in the U.S. All of these tariffs and uncertainties on the value chain from procurement, permitting, safe harboring and use of Chinese equipment rules will take its toll on safe harbor projects and new projects. We expect a rush to get projects under construction by July 2026 to benefit from safe harbor. And for projects beyond that, the picture remains unclear. There is a need for new build generation in the U.S. driven by trends such as reshoring of industrial production and artificial intelligence and thermal generation is unlikely to come in time to meet that demand. New nuclear appears to have limited prospects before 2030 as well. All in all, existing operating capacity may benefit from lower levels of new build and higher prices. As for our U.S. growth plans, we retain 1.2 gigawatts of safe harbor projects and we'll be looking to crystallize that value, whether by constructing and operating ourselves or monetizing the developments as visibility improves and the market readjusts to the new landscape. Thank you. And now over to José Ángel Tejero.
Jose Angel Tejero Santos: Chief Operating Officer Thank you, Arantza. Moving to our infrastructure business. Concessions have become a cornerstone of our growth model. This slide captures the scale and momentum that we have built in this area. Starting with the backlog, we have reached an all-time of EUR 58 billion, representing a 7% increase versus December 2024. If we include projects where we are preferred bidder, such as the SR 400 that will be signed in the coming weeks, this figure rises to EUR 126 billion. In the last 5 years, we have secured 25 new concession contracts, reinforcing our leadership in this space and reflecting not only our strong execution capabilities, but also the trust placed in us by public and private partners globally. Looking ahead to 2032, we are targeting EUR 3 billion in equity invested in concessions. And what is particularly compelling is the weighted average life of these assets, which are 52 years, which provides long-term visibility and stability of our cash flows. Over the life of these projects, we will generate EUR 58 billion in dividends and cash distributions for ACCIONA. Finally, our approach remains flexible with regards to asset rotation. We will evaluate asset sales opportunities to optimize capital allocation and unlock value while maintaining a robust pipeline of high-quality long-duration infrastructure assets. Moving to Nordex. It stands as a key strategic asset in our portfolio. It is not just growing in volume, it is evolving into a more profitable, resilient and strategically integrated company within the ACCIONA Group. In the first half of 2025, Nordex recorded 4.5 gigawatts of order intake, representing a 33.8% year-on-year increase. This is a clear signal of market confidence in our technology, execution capabilities and the growing demand for clean energy solutions. Nordex backlog now stands at EUR 14.3 billion, up 12.1% since December 2024, providing strong visibility and stability for future revenues. Within this backlog, services have a strong EUR 5.5 billion, a 10% increase year-on-year, reinforcing the strength of our long-term customer relationships and recurring revenue streams. In terms of profitability, Nordex has reported a 5.7% EBITDA margin this semester and is making a solid progress towards the 8% strategic EBITDA margin target. Operational efficiencies, disciplined cost control and a more favorable product mix are all contributing to this trajectory. Therefore, we believe that Nordex is exceptionally well positioned to capture the next wave of growth in the global energy transition. Lastly, I'd like to highlight 2 key areas of strategic focus beyond our core infrastructure and energy operations, which are Bestinver and Living. Starting with Bestinver, our asset management arm, we are actively leveraging our ACCIONA origination and development capabilities to scale up our alternative investment funds. This is a deliberate move to diversify our portfolio and enhance long-term value creation. Our goal is to significantly increase the share of alternative assets under management from the current 10% to around 20% in the coming years. And at the same time, we remain fully committed to continuing delivering high and consistent long-term returns through our traditional funds. And turning to Living, our property development business, we are optimizing our land bank by divesting older stock that does not have a short-term development potential. This allows us to focus our capital resources on high-margin, high-impact projects. Our strategy is centered on margin maximization driven by the strength of ACCIONA unique product and our exceptional development team. We are also making strategic investments in singular income-generating properties that align with our long-term vision. Together, these initiatives reflect our broader commitment to sustainable growth, capital efficiency and value creation across all businesses. And now let me hand it over to Jose to present the financial results of the group.
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer Thank you, José Ángel. Good morning, everyone. Let me present ACCIONA's financial results for the first half of the year. Starting with the key financial highlights. Revenue grew by 5% to EUR 9.2 billion and EBITDA increased by 57% to EUR 1.6 billion, of which EUR 1.1 billion came from operations and EUR 443 million from asset rotation, showing that we are on track to achieving our EBITDA target for the year. We have achieved a strong operating performance in our nonenergy businesses, particularly in infrastructure and Nordex. We have also made major progress this semester on our asset rotation strategy, having closed the sale of 626 megawatts of hydro assets in Spain for approximately EUR 1 billion and having reached an agreement for the sale of 136 wind asset in Peru for USD 253 million. This is a transaction that will be closed before the end of the year, we expect. In addition, yesterday, as the Chairman and Arantza have explained, we signed an agreement with OPD Energy for the sale of a portfolio of 440 megawatts of wind assets in Spain for approximately EUR 530 million, generating an estimated capital gain of close to EUR 190 million. Profit before taxes reached EUR 715 million. That is a 251% increase year-on-year, while net attributable profit amounted to EUR 526 million, more than 4x the figure reported a year ago. Net investment cash flow was EUR 716 million, which corresponds to EUR 1.2 billion of CapEx and proceeds for the sale of the hydro assets in February of EUR 599 million, net of debt held for sale. Net debt at June 30 was EUR 7.7 billion. That is an increase of approximately EUR 600 million versus December 2024, reflecting the level of net investment during the period. In terms of our credit rating, both DBRS and JCR, that is Japan's credit rating agency, have confirmed their investment-grade rating status in their most recent reviews. On the next slide, you can find our ESG key metrics for the first half. Let me highlight that there has been an increase of 5.1% in our total workforce, mainly driven by Spain and across the water and construction businesses. Taxonomy aligned CapEx stands at 98%, largely flat compared to last year and well above our 90% target. Greenhouse gas emissions have increased by 29% due to the commissioning of high-emission construction projects in Chile and the waste-to-energy Kwinana project in Australia. In terms of financing-related KPIs, 80% of the company's gross corporate debt is either green or sustainability-linked debt, reaching an amount of total sustainable finance issuances of EUR 12.4 billion. On the next slide, we provide details of the investments made in the first half that totaled a net amount of EUR 716 million. ACCIONA Energía invested EUR 935 million, mostly in the Forty Mile project in Canada, Green Pastures in the U.S. and the Tahivilla repowering and Logrosán biomass plant. The sale of hydro assets in Spain is reflected as a divestment of EUR 599 million, net of EUR 350 million approximately of debt that was classified as held for sale. In terms of net debt evolution, you can see the main cash flow items that explain the evolution of net debt during the first 6 months of the year. The most important moving part has been EUR 716 million of net investment, which I just commented on. Working capital outflow amounted to EUR 296 million in the first half of the year, which is significantly lower than in the first half of '24, which was EUR 517 million and includes EUR 67 million in energy, EUR 124 million in Nordex compared to EUR 216 million last year and EUR 106 million in the rest of the group compared to EUR 291 million last year. As a result, we have finished the first half of '25 with EUR 7.7 billion of net debt, including EUR 823 million from IFRS 16. It is important to highlight that EUR 3.1 billion of the total net debt figure corresponds to debt associated to work in progress of which EUR 2.2 billion are related to ACCIONA Energía and EUR 862 million to real estate assets that will contribute EBITDA once they are finished. With that, and before providing further details on the rest of the group, let me hand over to Raimundo, who will review ACCIONA Energía's financial results in more detail.
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer Thanks, Jose, and good morning. Starting with the financial results of ACCIONA Energía. Revenues increased by 10% to EUR 1.469 billion. Generation revenues grew by 2% to EUR 764 million with consolidated production and average capture prices both increasing by around 1%. Production was weaker than expected, but capture prices came stronger. The production figures also flattish on a like-for-like basis. That is without the impact of new capacity and asset rotation. Wind resource was weak in Spain, while the international business saw improvement, particularly in Mexico and the U.S., and that was despite the weaker overall resource in Chile. The contribution of new capacity offset the loss of production from the sale of the hydro portfolios in Spain. And as Arantza said, we had new capacity with a slower ramp-up than expected, and that's not expected to increase in the second half. Power prices were stronger despite the roll-off of Spanish hedges that last year still reflected energy crisis levels. And Spanish capture prices were strong and also uplifted by the recalculation of past banding mechanism adjustments. International prices were lower on average as expected. EBITDA from operations increased by 11% to EUR 464 million and EBITDA from rotation amounted to EUR 443 million, basically the result of the hydro disposal completed in February, less a small capital loss on a handful of U.S. development projects that were discarded. Total EBITDA, therefore, amounts to EUR 908 million, more than doubling year-on-year. Earnings before tax reached EUR 482 million. Between EBITDA and earnings before tax, I would highlight the movement in the mark-to-market of long-term hedges and PPAs that go through the P&L, which have an impact of EUR 30 million in the first half, and that's a delta of EUR 70 million relative to the previous year. Additionally, last year, we had a net positive impact of impairments of EUR 44 million related to the reversal of impairments in the first hydro disposal, net of the impairment of the Tahivilla wind farm repowering. This year, we have EUR 9.6 million of impairments, mostly related to the abandonment of projects in Brazil. And then the bottom line, net profit for the period stands at EUR 455 million relative to EUR 65 million the previous year. Net investment cash flow amounted to EUR 337 million, which corresponds to EUR 935 million of CapEx, partially offset by the net proceeds from the sale of the hydro assets in February that amounted to EUR 599 million. And net financial debt increases to EUR 4.1 billion at December to close to just over EUR 4.2 billion, and the increase in debt reflects also the investment during the period and the payment of the annual dividend in June. Moving to the ESG results. We would highlight the environmental side, 100% of our CapEx still taxonomy aligned. In terms of emissions, Scope 1 and 2 emissions increased by 7% due to higher Scope 2 emissions with higher electricity consuming our U.S. battery project and as MacIntyre starts to ramp up, and we will neutralize these emissions at year-end by acquiring renewable energy attributes. On the social side, our average workforce fell by 6%, driven by asset rotation and our frequency -- accident frequency index fell to 0.46% -- sorry, 0.46. In Slide 43 on the cash flow, just briefly, operating cash flow amounted to EUR 162 million, including negative working capital of EUR 67 million. That reflects the unwinding of the banding mechanism and also movements in generation and supply payables and receivables. Net investment, EUR 337 million net of the disposal of the hydro assets in February. And with respect to the financing and other cash flows, payment of dividend in June and a net positive, mostly related to depreciation of currencies -- of debt in currencies that has a positive impact on the net debt at the end of the period and the movement of interest rate derivatives, which also had the mark-to-market a positive impact. On the operating results in Slide 24, you can find more detail and that has been partly already commented, revenues up 10% and EBITDA from operations increasing by 11% to EUR 464 million, Spain driving the EBITDA improvement due to higher prices, international flat on a like-for-like basis and the net effect of new capacity and asset rotations having a net negative impact. On the Spanish revenue drivers on Slide 25. On the bottom right-hand table, the average capture price increased by 26% to EUR 80.9 per megawatt hour, and that's relative to 64.4% the year before. The achieved market price of EUR 67 per megawatt hour is higher than the previous year, which was affected by unusually low prices in the spring. And this price is also higher than the average pool price of EUR 62 per megawatt hour during the first half of 2025. The impact of hedging and contracting is relatively neutral as opposed to the year before, where we still had high contracted prices, which were around EUR 95 per megawatt hour, and this is still lagging the normalization of power prices post energy crisis. The average price of our short-term hedges has now converged substantially with that of our long-term bilateral contracts. and also the prevailing level of pool prices. So in H1, the average price of short-term hedges was EUR 67 per megawatt hour and bilateral contracts, EUR 57 per megawatt hour, resulting in an average contracted price of EUR 63. The unhedged part of our volume during the first half achieved very high prices, particularly during Q1 and with the hydro assets achieving high prices at the time. I would also highlight the positive impact of the banding mechanism, which is uplifting the average price by around EUR 10 per megawatt hour. This is partly the normal banding mechanism and unwinding of previous year's assets and liabilities, but also there's a component that is extraordinary and is also helping the price. For the full year, we are expecting the average Spanish capture price in the EUR 70 to EUR 75 per megawatt hour range, a little bit higher than what we expected at the beginning of the year. On the Spanish operating results in Slide 26, so we saw the drivers and the EBITDA grew by 16% to EUR 186 million, mostly on the higher achieved prices and despite the lower like-for-like output and the loss of contribution from the assets sold. The supply business underperformed, as already mentioned, due to the higher cost of technical restrictions that cannot be passed through to customers, and this is partly related to the April to the blackout we suffered a few months ago. EBITDA from operations increased 50% to EUR 176 million and adding the EBITDA from asset rotation of EUR 450 million from the hydro disposal takes us to EUR 626 million. On Slide 27, on the international energy drivers, you can see that volumes increased by 25%, reflecting improved energy resource and the contribution from new assets. Like-for-like output increased by 8.5% which is a bit lower than planned. I would highlight the improvement in Mexico on a like-for-like basis and the weaker output in Chile. North America and Australia see the positive impact of new capacity. And in terms of prices, the average price fell by 13% to EUR 55.3 per megawatt hour with lower prices, particularly in North America and Australia, which were landing from very high prices in some of these assets last year. Prices in Chile are flattish with strong underlying improvement in supply margins and injection prices. Last year for comparison reflected the recovery of past tariff revenues on the PEC retail customer protection mechanism. And then international operating results in Slide 28. EBITDA from operations grew by 8.7% to EUR 288 million and total EBITDA increased by 6.3% to EUR 282 million, with EBITDA from rotation of minus EUR 6 million arising from the U.S. projects that we already mentioned. EBITDA increases, thanks to better output and contribution from new assets and despite the lower prices and movements in FX. EBITDA improves in North America with new capacity online and despite lower catch-up prices. In Mexico, as we said, output normalizes after a weak to -- sorry, after a weak last year, 2024, and that's despite slightly lower prices. Chile falls, but it's an underlying reasonably good result despite lower output, as we said last year contained PEC income for approximately EUR 22 million. Australia is relatively flat with higher output, but lower prices and the contribution of MacIntyre with a slower ramp-up, but making progress. So that's it. Thanks. And over to Jose.
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer Thank you, Raimundo. Moving to Infrastructure. On this slide, you can see the main H1 results for the division. Construction, Concessions and Water all grew revenues and EBITDA year-on-year, while in terms of regions, Australia and Southeast Asia remain as our main market, accounting for 36% of our infrastructure revenues. In terms of backlog, you can see the aggregate backlog remains at historically high levels, reaching EUR 57.9 billion at June 2025, including the equity accounted projects. In the first half of the year, new awards amounted to EUR 5.7 billion, including some very relevant contracts such as the Central West Orana transmission line in Australia and the Saadiyat desalination plant in the U.A.E., both of which include both construction and concession contracts. In addition, we have pre-awards at June 30 -- at June 30, 2025 for around EUR 4 billion, which includes the SR 400 Express Lane in Atlanta. We expect to reach financial close on this project in the next few weeks, which will add around EUR 2 billion of construction works to our backlog and around EUR 64 billion to our aggregate backlog once ACCIONA's proportionate income from the concession is included. Moving to Concessions. Our order book is well diversified in terms of geographies with 82% being or coming from OECD countries. Among the most relevant contracts that we have today in our backlog and under construction, let me highlight the Western Harbour Tunnel in Sydney, Line 6 in the São Paulo -- Line 6 of the São Paulo Metro in Brazil, the I10 Highway in Louisiana and the Central West Orana Transmission Line in Australia as well as the Lima Peripheral Ring Road in Peru. Moving to Construction. Revenues grew by 6.1% and EBITDA margin remains above 7%, reflecting the quality of the backlog secured in previous years and the strong activity in large capital-intensive projects such as the Western Harbour Tunnel in Australia and Line 6 in Brazil. Construction backlog stands at EUR 16.7 billion at June 2025. That is a 5.5% decrease versus December 2024, mainly due to the impact of the exchange rate, mainly the weaker Australian dollar. Looking ahead, we are comfortable with our backlog as at June 2025, not only because it implies more than 2.5 years of sales, but because approximately 77% of it has protection clauses, including 25% of collaborative contracts and 28% of contracts related to our own concessions. In Concessions, we continue to make significant progress in this business, which is a key area of growth and focus for the group. EBITDA grew by 32.5% to EUR 55 million, driven by the execution of Line 6 and the contribution of new projects, mostly classified as financial assets, such as the I10 Highway in Louisiana and transmission lines in Peru as well as the Central West Orana transmission line in Australia. Line 6 in São Paulo is 70% complete, and we expect to open to traffic a first segment at the end of next year. As we have already explained, our portfolio is young, geographically diversified and balanced with 60% of projects with demand risk and 40% with availability payments. Looking ahead, we have enormous growth opportunities with an identified pipeline of more than 50 greenfield projects with around EUR 109 billion of related investment to be tendered in the coming years across our key geographies. We expect to add between 2 to 4 new projects per year with a geographical focus in Australia, the U.S., Brazil, Chile, Peru and the U.K., consolidating our presence in the transmission line sector and continue to grow in managed lanes. Moving to the Water business. Revenues and EBITDA increased by 18.4% and 12.3%, respectively, compared to the previous year. These strong growth figures were driven primarily by the solid progress of the desalination works in Alkimos in Australia, Casablanca in Morocco, Collahuasi in Chile and Ras Laffan 2 in Qatar. EBITDA margin stood at 7.2% versus 7.6% a year ago due to the greater weight of the D&C, the design and construction activities, given the early phase of construction works at the projects that I have just mentioned. Backlog stood at EUR 8.3 billion, that is plus 19% compared to December 2024. And relevant awards so far this year include the Sanepar water treatment and sewage network project in Brazil for around EUR 640 million, and the Saadiyat Island desalination plant in the U.A.E., which combined both D&C and O&M contracts for a total of EUR 583 million. Additional contracts awarded but pending financial close include the Cesan water treatment project and sewage networks project in Brazil for an amount of EUR 541 million. Let me now walk you through our equity commitments and investment outlook in concession assets through to 2032. As you can see on this slide, we have a well-structured and evenly distributed investment plan from 2025 to 2031. We have committed approximately EUR 2.3 billion of additional investment with a total equity investment expected to reach EUR 3 billion by the end of '32, 2032, that is. Importantly, the investment profile is well spread over the years, avoiding concentration in any single period and allowing us to manage capital allocation efficiently while maintaining flexibility. On the right-hand side of the slide, we present the breakdown by sector as well as the status of the portfolio -- of our portfolio. It is worth highlighting that 84% of our portfolio is currently under construction. Therefore, the contribution of this portfolio to group results today is relatively small, but will increase naturally as the projects mature. In terms of time line, our 14 key concession projects, you can see that all of them are currently under construction. We expect to begin operations on the first section of Line 6 in Brazil by the end of next year, and this will be a major milestone. At the same time, some of our most significant projects such as the SR 400 or the I10 in the U.S. are scheduled to begin operations significantly later in 2031 and 2032, respectively. This phased time line allows us to manage resources efficiently and ensures a steady ramp-up of operational assets over the next decade. Turning now to Nordex. The company continues to deliver on its strategic priorities with a clear focus on profitability. Management presented H1 results yesterday, so I will be brief. Nordex reported an EBITDA of EUR 188 million, a 59% increase compared to the first half of '24 with a 5.7% EBITDA margin compared to 3.4% last year. The company is, therefore, well on track to meeting its margin guidance for the full year. The contribution of Nordex to ACCIONA's EBITDA was EUR 273 million, which includes an EUR 86 million provision reversal identified under the purchase price allocation exercise done by ACCIONA at the time of consolidating Nordex's results into our financial accounts. The reversal of this provision follows progress on Nordex's quality improvement program and the specific recording of provision related to the same items on Nordex's books, which justifies the reversal in ACCIONA's accounts. In terms of operating data, order intake for turbines rose sharply to 4.5 gigawatts and the average selling price increased by 3.3% to EUR 0.92 million per megawatt. The total backlog grew from EUR 12.8 billion at year-end 2024 to EUR 14.3 billion now, providing strong visibility for future revenues. Moving to other activities. Property Development had a strong performance in the first half of 2025 with a positive EBITDA of EUR 5 million compared to minus EUR 8 million in the first half of '24, driven by the delivery of a student residence in Terrassa and the sale of nonstrategic land plots and the implementation of operational efficiencies. For the full year, we plan to deliver 1,200 units approximately, mostly in the back end of the year. Bestinver had a good semester with a 12% increase in revenues and 10% growth in EBITDA, driven by a 9% increase in average AUM. As of June 30, the total assets under management stood at EUR 6.9 billion and a EUR 160 million increase compared to December 2024. Overall, Bestinver continues to deliver consistent performance with healthy revenue and EBITDA growth, strong asset inflows and a resilient margin profile. And to finish, let me provide an update on the group's outlook for the year. Starting with EBITDA from operations, we keep our expectation of EUR 2.2 billion to EUR 2.25 billion unchanged, of which EUR 1 billion would come from ACCIONA Energía and EUR 1.2 billion to EUR 1.25 billion from the rest of the group. ACCIONA Energía's EUR 1 billion EBITDA from operation is based on a somewhat lower production than initially expected, around 26 terawatt hours versus our prior indication of 27 terawatt hours, but a higher average achieved price, around EUR 60 per megawatt hour compared to a range of EUR 55 to EUR 60 per megawatt hour previously, driven mainly by higher captured prices in Spain. With regards to asset rotation, we also maintain our guidance of EUR 1.5 billion to EUR 1.7 billion of additional proceeds to the hydro sale announced or closed in February of 2025, of which we have already signed transactions worth EUR 750 million and EUR 500 million to EUR 750 million of EBITDA from asset rotation, which we have already met, having delivered around EUR 640 million approximately of capital gains considering or assuming that the transaction announced yesterday with OPDE will close during this financial year, which we expect to be the case. In terms of net investment cash flow, we keep our expectation unchanged at EUR 2.8 billion. that is EUR 1.3 billion in ACCIONA Energía and EUR 1.5 billion in the rest of the group, while net debt is expected to be below 3.5x EBITDA and below EUR 3.5 billion for ACCIONA Energía. With that, let me thank you for your attention and hand the floor back to José Manuel for the Q&A session.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you very much. These results reflect what we are on the right track to capture immense opportunity that lies ahead. We have the platform, the teams, the pipeline and the ability to execute complex infrastructures that are aligned with evolving trends and increasingly demanded by society. Clean electricity needs to triple to meet growing demand from both conventional and emerging markets and sectors such as electric mobility, electrification, industrial electrification or digital infrastructure. '25 alone, global investment in clean energy technologies, networks and electrification is expected to exceed EUR 2.2 trillion, more than double the amount directed to fossil fuels. Yet this only covers parts of the challenge. When factoring in infrastructure needed to address climate change, sanitation, waste management, urbanization, transport, housing or water, the total investment cap raises to an estimated of EUR 6 trillion to EUR 8 trillion per year through 2030. Infrastructure investment is attracting record levels of interest, driven by improving long-term regulatory clarity, public support and attractive risk-adjusted returns. In our 4 current markets, Europe, Australia, Brazil and North America, the pipeline of infrastructure projects is expected to reach -- the tender stage in the next 2 years exceeds EUR 100 billion. So the opportunity is very clear. Financial markets, however, need projects to mature from early-stage greenfield into brownfield or derisked development stages. That is where experienced greenfield to brownfield developers like us play a central role. In summary, demand for infrastructure and investor appetite is guaranteed and only a few companies in the world are experienced, technically capable and recognized in the field in order to address it. ACCIONA is one of the few global companies that can deliver such a broad portfolio of sustainable solutions meaningful not only to our shareholders, but also to the communities and the environment where we operate. Thank you very much. With that, let's open the Q&A session.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Okay. The first question we have is addressed by a number of institutions, Santander, Caixa, Sabadell, Morgan Stanley, many. So it's on asset rotation. And the question is what lays ahead in the short term? We do not see any concern. We do not have any concern, any significant concern in the appetite for asset rotation in the market. We are managing a portfolio of 2.4 -- approximately 2.4 gigawatts of transactions, of which 1 gigawatt is very advanced. And the remaining 1.4 gigawatts will be -- will take -- will consolidate -- the process will consolidate in the second half. These include U.S. assets, Australian assets, South Africa and Latin America, mostly Mexico. And the strategy is to execute those transactions and maximize value creation with the best possible deals being put ahead. We have not seen -- the main question was whether we see any disruption. We do not see any disruption and the projected EUR 500 million to EUR 700 million in proceeds will -- we believe will take place. Going forward, in the next years, we expect -- as a program, we'll expect to sell 600 -- approximately 600 megawatts a year, but it is entirely dependent on the strength of our balance sheet, which in turn is affected by the CapEx that we implement. The CapEx that we implement in turn, is dependent on the opportunities we find. So it's all a related -- it's all connected elements with the overriding factor of balance sheet strength mostly determining the rest of the variables. As there is -- next question is on growth, and it's basically, can we expect less growth in 2026? Let me introduce the answer, and then I'll pass on to Arantza. It also asks what can we expect in terms of profitability? As I said, the overriding factor is balance sheet strength, and we are in a deleveraging mode. So we are being very selective in terms of new CapEx in '26. So please, Arantza, if you want to expand.
Arantza Ezpeleta Puras: Chief Executive Officer Yes. Thank you, José Manuel. As José Manuel was mentioning, our priority for this year is to deleverage and focus on our strong asset rotation program and a modest level of investment to strengthen the balance sheet and reach leverage levels that -- with which we feel comfortable. Once that is stable and on a purely indicative basis, we can see that our balance sheet could allow us to grow in gross capacity around 1.2 to 1.5 gigawatts per year. And after asset rotation, that will result in around a net increased capacity of 700 megawatts per year. But as we have mentioned before, we are not setting any capacity target, our investment decisions will be driven by quality over quantity. And in terms of profitability, which was the second part of the question, our strategy is to continue focusing on those opportunities in which we get at least a minimum threshold of 200 basis points on top of the WACC.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. Question #3, why has our CapEx being reduced in 2025 to EUR 1.3 billion? Is it only because of the battery storage in the U.S.? Why don't you address that one, Raimundo, relevant answer.
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer Okay. Yes. Okay, on the CapEx side, we have been making an effort to find efficiencies in CapEx to try to minimize it. That has included finding more efficiencies, for example, in development costs and the investments we're doing in other businesses, also adjusting the timing of the projects and the payments related to it to try to fine-tune it as soon as possible. As well, the pause of the battery projects in the U.S. has also contributed to us finding that reduction potential.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Okay. Thank you. Question #4 is on the sale announced yesterday, whether the 440 megawatts already accounted as held for sale and what's the impact on net debt? Can you detail the spread of the proceeds for the wind and solar PV assets and detail the EBITDA generated by the assets? Raimundo?
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer Thanks, José Manuel. Okay. So these assets have debt held for sale for approximately EUR 362 million -- or EUR 362 million, excluding IFRS and EUR 374 million, including IFRS. On the second part of the question, which is the spread of proceeds of the wind and solar PV assets, our estimate is that the majority of the value is reflecting the value of the, of course, the operating wind assets and probably the hybridization potential of this portfolio, it probably reflects less than 3% of the total consideration. And in terms of the EBITDA generated by these assets, this is -- these are assets that are generating in the order of EUR 45 million to EUR 50 million of EBITDA at current market prices. You have to take into account that around 250 out of the 440 megawatts of the portfolio are effectively regulated. There are vintages that are -- that will obtain regulatory income in the future, and they are subject to binding mechanism and the rest of the assets are merchant. These are 15-year-old assets, as you know.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. Question #5 is on the U.S.A. What is our current situation and what are our growth expectations in this market? Arantza, please.
Arantza Ezpeleta Puras: Chief Executive Officer Yes. Thanks, José Manuel. So our exposure in the U.S. remains limited and the recent policy changes do not impact our operational assets. However, given the current volatile environment, we have paused, as we have already mentioned, the 2 battery projects that were supposed to be under construction this year. And we are reassessing our development pipeline over the next couple of years. So still -- there is still uncertainty in the sector regarding the tariffs, and we will need to see and wait how -- if there is more clarity in the next coming months. And the last big Beautiful Bill Act that has been approved recently accelerates and gives more clarity and accelerates the phaseout of tax credits, particularly for wind and solar and narrowing the window for projects that are beyond 2027. Battery storage is affected, though to a lesser extent as the phaseout measures start after 2033. We are currently -- we currently have 1.2 gigawatts of BESS and PV projects that are already safe harbor and another 2 gigawatts of projects under development, which could be potentially safe harbor as well and will depend on future investment decisions and further development in the regulation. So in terms of the growth outlook will depend on the evolution of the regulatory and policy framework, and we are closely monitoring this development to take the decisions and understand the impact on the value chain.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD [ Lucas ] -- thank you, Arantza. #6, what is our status on the storage pipeline considering the recent U.S. bill? And regarding Spain, what is our strategy for battery storage? Is it mostly through hybridization with solar? Or do you -- do we also expect to develop stand- alone? Let me answer this generically because it's a very generic question. So let me give you a generic answer. There's 2 main factors in the U.S. to analyze viability of storage projects. One has been pretty much clarified at least for the next 2 years, which is the act. The other one is tariffs. So until we clarify the tariff scenario environment, we cannot clarify the viability of the storage problem projects in the U.S. So at this stage, they're on standby. In Spain, we see opportunities, but the truth is that given BOP costs, capacity factors, the numbers don't work out alone. So there needs to be subsidies for the battery -- as where we stand now for the battery industry to develop. But we do see in markets with a higher resource like, for example, Chile or the Dominican Republic or Australia, where we have relevant pipeline, and we do see some opportunities, of course, on a case-by-case basis. Question #7, production and prices for the second half. What is our production and price expectation for the second half of the year? Regarding the weakness of the production in the first half, what were the main reasons? And is that reversible? Arantza, will you take that one?
Arantza Ezpeleta Puras: Chief Executive Officer Yes. So we have updated our outlook for the year, revising both production and price expectations. On pricing, we have lowered our forecast for the Spanish pulp price to EUR 65 to EUR 70 per megawatt hour versus the initial EUR 75 per megawatt hour. We have also slightly increased our expectation for the capture price in Spain to EUR 70 to EUR 75 per megawatt hour versus the EUR 65 to EUR 70 that were initially given, driven the higher-than-expected capture prices due mainly to some regulatory adjustments. As per the production, we have adjusted our annual forecast downwards from 27 terawatt hours to 26 terawatt hours, reflecting the shortfall observed in the first half of the year. This shortfall is mainly due to the lower pace on some projects that are under ramp-up to get to their full production, namely MacIntyre, as we have explained, Forty Mile, Juna in India and Green Pastures. They will get into full production either between second half of the year and first months of next year of 2026. We have already mentioned that MacIntyre is on its way to get to its full production. We are currently undertaking Hold Point #3. This is a very important one. And after that, we think that the remaining 3 Hold Points will be delivered faster. And on the positive side, we have the Aldoga PV project plant in Australia, where it is well ahead of schedule.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you, Arantza. Question #8, can you please detail the EBITDA contribution of new assets put in service in '24 and '25? This is very specific, but maybe give it a shot, Raimundo.
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer All right. So if we look at delta, so that is assets that are -- that were commissioned partly -- sorry, microphone. So if we look at deltas, so when we look at the pool of assets that were partly operational or commissioned in '24 and now are fully operational in '25 and then what is being commissioned this year, partly, we're looking at an increase in EBITDA from new assets in '24 of EUR 120 million roughly. And this year, we expect that delta, that marginal increase in EBITDA from all of these assets to be another EUR 105 million or so. When we look at the absolute levels of EBITDA from this pool of assets that, as I said, partly last year, partly this year, we're talking about EUR 80 million roughly going to EUR 180 million, and that's where this EUR 100 million delta comes in 2025.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. Question #9, on dividend policy. As I mentioned, we will prioritize balance sheet strength, which means that the dividend policy will depend on that variable. And that variable in turn depends on rotation and CapEx mainly. And of course, EBITDA, but that the volatility of EBITDA is less than that of CapEx and the variability more than volatility on CapEx and rotation. If all other variables remaining equal, so in normal circumstances, we do maintain our payout policy of 25% to 50%. Question #10, on the tax rate, why is our tax rate so low? What can we expect from fiscal year '25? Raimundo, can you develop on that, please?
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer Okay. So yes, the underlying tax rate or effective tax rate that we expect ex capital gains or EBITDA from asset rotations is around 27%. So this is what you should expect for the full year and is more or less reflected in the first half. The capital gains that are generated within the Spanish tax group are exempt of taxes, 95% of the capital gains. So basically, they're paying 1.25% on those. So when you look at the first half results, there's substantial income from EBITDA from operations from asset rotation that is not going to pay taxes. So it's going to pay limited taxes, but we're going to pay 27% on the rest.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. Question #11 regarding the flexibility we have on net debt-to-EBITDA ratio if asset sales at the end of 2024 -- '25 would fall short of targets. As you can imagine, we have a number of contingency plans, not that it looks likely that they are going to be needed, but we always try to plan for unexpected situations. So if I were to name them very simply and in general, basically, the most evident is CapEx reduction. The second is the -- of course, the dividend policy. And then there is, of course, the emission of hybrids associated to assets, which account as equity. I don't know if you want to develop anything else over there.
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer I would say that I think we are doing well in terms of the plans that we have set ourselves also with the commitments with the rating agencies, that disposals are going to happen. And there's a pipeline also projects being developed for 2026 in terms of M&A. And we think that if we're making good progress by year-end, even if we haven't exactly achieved the targets and with 2026, which is going to be lighter in terms of CapEx, we're keeping all of that flexibility that José Manuel and Arantza have spoken about. I think we have room to maneuver plus the options that you talked about.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. And then last question on the energy front. The asset rotation multiples, what capital gain per megawatt is implied in the target of selling 600 to 800 megawatts per year. Given that the proceeds and capital gains differ significantly between wind and solar assets, what benchmark is being used? But it's a difficult question because we build the 600 on specific. So it's a bottom-up analysis, 600 to 800. We know which assets probably, although we keep our optionalities open. The factor -- the reality is that it depends on the technology. It depends on the country. It depends on the age of the assets. So it's difficult to generalize or if you generalize, in fact, what you're doing is you're putting different numbers together and you're obtaining an average, which doesn't mean much. But nonetheless, if you want to give a number, Raimundo, if you have one, go ahead.
Raimundo Fernandez-Cuesta Laborde: Chief Financial & Sustainability Officer I think the kind of figures that we've used when we're looking ahead and since embedded in the capital gains target that we announced last year, a couple of hundred million to EUR 300 million per annum, we're talking about 0.3, 0.4 per megawatt, but that will depend on, as José Manuel says, on the specific realized blend of assets rotated.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Okay. Well, thank you very much. That does away with the questions in -- as regards ACCIONA Energía. So let's tackle those regarding ACCIONA, the rest of the group. Now the first question is we have more than 90% of ACCIONA Energía, does it make sense to keep ACCIONA Energía trading as such a low free float, could you consider a takeout of minorities? The recent price of ACCIONA Energía has changed the performance or the price has changed your view asking -- that's a question, your view regarding potential corporate moves? Okay. The answer to that is all is no different than in the past. All options remain open. And the truth is that we are -- despite the price of ACCIONA Energía improving significantly over the past few months, the value is still there, significant value is still there. And the comparison between underlying asset value and stock value and share value -- share price is very favorable to buying shares. So on the other hand, the optionality of having a traded -- a publicly traded company is high, should that balance between underlying assets and stock value change. So as I said, the options are still open, and we will continue to monitor the market and decide upon it in the future months. Second question is a couple of questions from analysts over the news published in the press involving ACCIONA Construction in Spain in some irregularities. And I have to be very, very strong in my answer to that question. that basically, I mean, notwithstanding that this is a 66,000 people, employees company with 40,000 suppliers and commercial relations around the world, there's always the possibility that someone alluding internal control and poverty standards may actually succeed in doing so. The facts are that, first of all, it has had no impact on the stock nor on our global business. Nor we see any signs of seeing of foreseeable impact. Two, our subsidiary, ACCIONA Construction in Spain is not under investigation, neither any of ACCIONA employees nor have we been in the past. We have not -- three, we have not identified any irregularities in the awarding of contracts under investigation and of the existence of the payments mentioned in the investigation report. And four, notwithstanding, we have taken decisive actions in terms of our commercial relation with the companies under investigations and with the executives with responsibilities in overseeing construction Spain. Needless to say, we reiterate strongly, bluntly and undoubtedly reiterate our commitment with the highest ethical and compliance standards as has always been the hallmark of our brand and our way of doing business for the past 100 years. As for question #3, what is the expected EBITDA margin? Do we maintain the 6.5% to 7% EBITDA margin target in construction in light of the 7.3% reported in the first half. Jose, why don't you take that one?
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer Sure. We expect construction EBITDA margins to be -- remain stable in the range of between 6.5% to 7%, probably towards the higher end of that range. As we have explained, that largely reflects the fact that around 77% of our construction backlog has price protection clauses, which gives us or results in a more stable and predictable outcome in terms of margin. For example, in Australia, around 60% of our backlog is collaborative in nature. And more generally speaking, we're seeing a trend towards a more balanced risk return profile in our construction contracts given the equilibrium -- or the change in the equilibrium between contractors and clients when it comes to delivering complex or large complex infrastructure projects. So that is a general trend that favors more healthy margins, and we're seeing that reflected in our results, and we expect that to continue over the second half and the coming years.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD On question #4, update regarding the different equity swaps done at the ANE and ANA Group level. Regarding the EUR 100 million equity swaps in ACCIONA Group, can you do -- can we do another one given the good progress on asset rotation? Can you exercise earlier your equity swaps, mainly the ones in ANA, if those shares are needed? Why are you buying ANA shares above consensus target price? Would it be better to buy ANA shares directly? I think I've addressed that on the ANA -- ACCIONA Energía side. On the ANA front, we believe that the consensus and the stock price at ACCIONA Group remains under the value that we assign. So the asset versus shares trade-off remains attractive. On the -- can we exercise our equity that was mainly the ones in ANA, I believe the answer is yes. So it's -- yes, it's a cash settled instrument. So it gives us full flexibility. And yes, the opportunity is open and available, and we do not close any options. Question #5, can you give us more color on how you're going to finance your CapEx commitments and returns expected in your concessions portfolio? Why don't you, Jose or José can handle that one, both.
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer You take the first one, I'll talk about the returns.
Jose Angel Tejero Santos: Chief Operating Officer Yes, our current portfolio, as we have explained, including the projects that we are preferred bidders such as the SR 400 in Atlanta requires equity investments of around EUR 2.3 billion between now and 2032. But these investments are well spread throughout the years. And according to our business plans, we have the capability to finance them with the cash flow generated by the construction and other businesses and the dividends that we will start receiving from the concessions that start operations earlier, always keeping our net EBITDA ratio below 3.5 for the next 5 years. Maybe you want to complete about returns?
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer Yes. Briefly on returns, our -- it depends obviously, on the risk profile and the nature of the project, and we have projects in countries with different risk profiles and different nature of projects. But generally speaking, on average, we are -- our current portfolio achieves returns of mid-double-digit returns, and that we expect to be the case for upcoming projects, if -- which we reflect -- what we believe is an attractive level of return given the profile of these assets.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD Thank you. Question #6 is on Nordex and what is our strategy there? We -- now that our stake is valued over EUR 2 billion. It's actually close to EUR 2.5 billion. But we are very happy with our investment. As a matter of fact, we've been hearing this strategy question since the stock was at 8. We continue to see as the management -- as Nordex management expressed in their presentation, the market presentation yesterday or the day before, yes, I think it was yesterday. Yes, yesterday. The market is strong. The core regions continue to see strong demand and Nordex's position is consolidating and stronger every year. It does also have a strategic interest for us in the development of ACCIONA Energía of our own capacity internationally. And so we are very happy to see it's continued improvement in P&L, and we do see still a very significant improvement in the coming future. Besides -- and this is kind of a side comment, Nordex is the -- probably one of the few options of consolidation in the West of non-Chinese OEMs. So that gives it an additional point of upside. In #7, provision reversals. Could we clarify the criteria for provision reversals that increases Nordex's EBITDA from contribution to the group to ACCIONA from EUR 188 million to EUR 273 million. Jose, why you address that one?
Jose Entrecanales Carrion: Chief Financial & Sustainability Officer These provisions were already identified under the purchase price allocation exercise done by ACCIONA in 2023 when we consolidated Nordex. As Nordex makes progress and has made progress over this half in their quality improvement program and these expenses and these provisions have been incorporated into their results. In order to avoid double counting of those provisions, we need to revert them at the ACCIONA level, which is why we have registered the EUR 86 million provision reversal this half.
Jose Manuel Entrecanales Domecq: Executive Chairman, CEO & MD So that's it. Thank you very much for all your questions and your attending this results presentation. Any questions, additional questions or clarifications you may need, by all means, do address our shareholder services, and we will be happy to clarify and answer. Otherwise, I look forward to seeing you again soon, if not in the full year presentation next January or February. Thank you very much. Have a good summer, all of you who are in the Northern Hemisphere, a good winter for those who are in the Southern Hemisphere. Thank you. Bye.